Operator: Ladies and gentlemen, thank you for standing by and welcome to the Expedia Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to our host, Alan Pickerill, Vice President of Investor Relations. Please go ahead.
Alan Pickerill: Thanks, Alicia. Good afternoon and welcome to Expedia, Inc.'s Financial Results Conference Call for the Fourth Quarter and Year Ended December 31, 2012. I'm pleased to be joined on the call today by Dara Khosrowshahi, Expedia's CEO and President; and Mark Okerstrom, our CFO. The following discussion, including responses to your questions, reflects management's views as of today, February 5, 2013, only. We do not undertake any obligation to update or revise this information. As always, some of the statements made on today's call are forward looking, typically preceded by words such as we expect, we believe, we anticipate or similar statements. Please refer to today's press release and the company's filings with the SEC for information about factors which could cause our actual results to differ materially from these forward-looking statements. You will find reconciliations of non-GAAP measures to the most comparable GAAP measures discussed today in our earnings release, which is posted on the company's IR website at expediainc.com/ir. I encourage you to periodically visit our Investor Relations site for important content, including today's earnings release. Finally, unless otherwise stated, all references to cost of revenue, selling and marketing expense, general and administrative expense, and technology and content expense, excludes stock-based compensation and all comparisons on this call will be against our results for the comparable period of 2011. And with that, let me turn the call over to Dara.
Dara Khosrowshahi: Thanks, Alan. The fourth quarter finished off a very solid year for Expedia. At the beginning of the year, we told you about 5 strategic focus areas for the company: First, turning around the performance of Brand Expedia. Second, growing our global hotel business. Third, investments in and execution on key technology projects. Fourth, further developing our international growth opportunities. And fifth, succeeding in new channels such as mobile and social. I'm pleased to report that we've executed effectively in each of these areas, which has resulted in continued acceleration in room night growth and revenue on a global basis. Looking forward to 2013, our strategic priorities remain largely the same, which I consider a positive. As they relate to Brand Expedia, we can safely say that we've turned Brand Expedia around. Now, we have to prove that we can grow it over a multiyear period as we have with Hotels.com, EAN and our other brands. Much of our improved performance has been a result of investments that we made on technology and content, upgrading global platforms across several brands and creating or upgrading unified back-end systems to support our customers, suppliers and transactional infrastructure. The capabilities of our technology teams have improved dramatically. Throughput is up, conversion is up and we're increasingly confident in our ability to identify and deliver on new projects and products with real returns. Just as importantly, our technology and business teams are working together more closely than ever. The goal of our investments isn't technology for technology's sake, but building great products that serve and delight our customers in a highly competitive marketplace. Looking ahead to 2013 and beyond, we see a market with significant challenges and great promise. In terms of challenges, we expect competitive intensity to increase. The European hotel business of our largest competitor recently introduced the brand marketing campaign in the U.S. and its parent company announced its intention to acquire that leading U.S. metasearch player. When taken together, these events create a much larger domestic competitor in terms of traffic, brand and product. We continue to see Google and TripAdvisor experiment and innovate with their products, both continuing to be large and growing sources of traffic globally and we'll be working with them while watching how their products and services evolve. On a promising note, we're gaining share in the $1 trillion global travel market, and have significant headroom for further growth. Our global Hotel business continues to improve broadly; Hotels.com continues its strong global growth; Expedia is accelerating with some early positive signs from the Package business; EAN is successfully powering partner sites with a real focus on the best technology and service in the private label space; Hotwire is expanding internationally; eLong has been taking hotel room night share in the important and promising Chinese market; and Egencia continues to expand the number of business travelers it serves worldwide. Underscoring all of this, we're signing contracts with more and more hotels under our ETP program, with almost 20,000 hotels now signed up and 1/3 of those live in production. Excluding eLong, our Hotel Collect or agency room nights now make up roughly 10% of our total global room nights, and are growing at rates substantially faster than Expedia Collect or merchant room nights. Last and certainly not least, we announced that we agreed to acquire a majority position in trivago, a leading European-based hotel metasearch business. trivago is a high-growth business that has built a strong brand and a major presence in several large European countries that are very strategic to us. Our multibrand strategy has always been driven by our knowledge that consumers love to shop around. The trivago business is one more way they can do that and with their global growth ambitions, we're excited to see what that highly capable team can deliver as part of the Expedia family. Thanks to the hard work and dedicated efforts of our global employees and partners, we had a strong 2012. And although we're well-positioned to continue to grow, we know that our challenges moving forward will be greater than they ever have been. Mark?
Mark D. Okerstrom: Thanks, Dara. We were quite pleased with our results in the fourth quarter, which would've been even a bit better had it not been for Superstorm Sandy. Total revenue grew 24% year-over-year, representing the fastest quarterly revenue growth in 5 years. As has become a recurring theme, this growth was driven by robust hotel revenue growth of 25% on record room night growth of 33%. Domestic room nights grew 19%, while international room nights were up 49% for the quarter. And at a brand level, our most significant brands continued to host very healthy room night growth this quarter, with Q4 room night growth coming in faster than Q3 in every major global region. Revenue per room night continued to decline at rates similar to what we have seen all year, primarily driven by shifting hotel product mix, including the fast growth of our APAC hotel business. As we've said in the past, we'll gladly take lower revenue per room night in favor of expanding market share in these important markets. Note that hotel revenue represented 74% of our total revenue mix for both the fourth quarter and for full-year 2012. Revenue from our Air business grew 10% year-over-year. Ticket volume increased 12%, largely due to our VIA Travel acquisition, which we closed in Q2 of 2012, while revenue per ticket declined 2% for the quarter. Other revenue grew 25% for the quarter, primarily on growth in corporate travel fees, again as a result of our VIA acquisition. We also saw solid performances for our insurance and advertising products. Running through key expense categories, cost of revenue grew slightly little slower than revenue in the quarter. Consistent with last quarter, a fair bit of this growth was the result of the VIA Travel acquisition, without which, cost of revenue would've levered significantly. Our customer operations team has done a great job implementing new tools and processes that improve the customer experience while at the same time, leveraging our cost. Overall, our recent customer satisfaction scores are at an all-time high. As we expected, selling and marketing expense grew faster than revenue. We continue to have a bias towards reinvesting marketing efficiencies back into the business in order to drive our top line growth. As we continue to improve our products and overall customer experiences across the globe, we are increasingly confident in our ability to generate returns from more aggressive spend in variable channels and emerging markets. Most of the year-over-year dollar growth this quarter came from increased performance-based marketing for Brand Expedia and Hotels.com. We also paid out more in commissions on the growth of our Expedia Affiliate Network business. Technology and content grew 32% year-over-year on higher headcount cost, driven by the investments we've been making in our key technology projects and to a lesser extent, higher bonus funding versus last year. Please note that as we release new technology, we also experienced significantly higher depreciation expense associated with previously capitalized software development cost. General and administrative expenses grew at the same rate as revenue this quarter, a bit higher than we'd like to see, driven by higher bonus funding relative to last year, the year-over-year impact of the VIA Travel acquisition and professional fees associated with the trivago transaction. Excluding these items, G&A would've leveraged nicely. You will also have noticed a $110 million charge that we recorded this quarter related to an unfavorable excise tax ruling in Hawaii. In certain rare cases, we are required to remit cash ahead of contesting adverse tax rulings. Suffice it to say, we vehemently disagree with the court ruling in Hawaii and we plan to appeal. I would also like to note that this excise tax matter is unique to Hawaii and is unrelated to, and we believe will have no bearing on, the occupancy tax matters that have been raised in other tax jurisdictions. Consistent with prior practice, we have excluded this pay to play expense amount from adjusted EBITDA and adjusted net income. In terms of capital allocation over the course of 2012, we returned nearly $530 million to shareholders through a combination of buybacks and dividends, including our special dividend of $0.52 per share, which we paid out in December. We also deployed over $200 million against acquisitions to further strengthen our competitive position around the world and our expected financial performance going forward. Now, I'd like to cover our financial expectations for 2013. For full year 2013, we are expecting to see adjusted EBITDA growth in the low double-digit range with the possibility of hitting the low teens. In terms of specific line items, we are forecasting both cost of revenue and general and administrative expenses to grow slower than revenue. We expect selling and marketing expenses to grow faster than revenue for the full year, especially in the first half. During which time, you should expect year-over-year percentage growth, broadly in line with what you have seen from us over the last few quarters. If you recall the first half of 2012, we were more conservative on marketing spend as we worked on enhancing the Brand Expedia product. With much of that work behind us now, we expect to spend aggressively in marketing both in variable channels and emerging markets. We are forecasting technology and content expense to grow faster than revenue for the full year, but for the pace of that growth to moderate as we move through the year. Note that tech and content will be particularly impacted by much higher depreciation, which has been growing significantly on a sequential basis for the past few years and likely will continue doing so through 2013. In terms of our expected tax rate for 2013, we're forecasting an effective rate in the range of 25% to 27%. Over the past 2 years, we've had the benefit of some favorable discrete items, and we can't guarantee that will continue. So rolling it all up, we are expecting to deliver another solid year, with adjusted EBITDA growth building through the quarters, most of it coming in the back half of the year. I will remind you that although we are carrying some nice momentum, Q1 will face particularly difficult expense comps, and because it is the smallest seasonal quarter for EBITDA, growth rates can be highly sensitive to small variances in either revenue or expenses. Note also that our financial expectations discussed today do not include any impact from the trivago transaction since that deal has not yet closed. With that, let's turn to questions. Operator, would you please remind listeners on how to ask a question.
Operator: [Operator Instructions] And our first question comes from the line of Ross Sandler with Deutsche Bank.
Ross Sandler - Deutsche Bank AG, Research Division: Just 2 quick questions on kind of the marketing and the room night growth. So your marketing mix is different than some of your larger competitors and smaller competitors because your geographies and your channels are different, but if you just take the room night growth acceleration combined with only kind of slight marketing deleverage, you're clearly getting more efficient with your spend. So can you talk about what's driving that efficiency? And then the second question is, I think you said international room nights are accelerating in all regions, 49% versus the 38% last quarter. Can you just give us some more granularity on which regions outside the U.S. are seeing the most acceleration?
Dara Khosrowshahi: Sure, Ross. As far as the marketing spend and deleverage and efficiency there, I'd say it's a combination of factors: One is that we are, in general, seeing higher conversion in some of our brands. Hotels.com continues to do really, really good work on the products side and the technology side to drive conversion, Brand Expedia as well, with newer technology platform, has significantly more capability on that side and as a result, has been seeing conversion tailwinds as well. So the higher conversion allows us to spend up and spend up especially in variable marketing channels. But because we're spending up with higher conversion, we're able to off spend some of that higher spend with higher revenue. So you don't quite see the marketing deleverage that you would expect. Another factor behind our marketing mix is that we are looking more carefully at certain placements, certain marketing placements that are, call it, lower quality. The capabilities of our marketing teams or analytics in general are better, and we're kind of taking a harder look at our different marketing channels, different placements and trying to find the placements that aren't efficient and then get rid of those placements and reallocate the capital to placements that do tend to be more efficient. So those are the 2 positives. The negatives that we have talked about are that we are seeing faster growth on variable channels and variable channels tend to be less efficient for us, and we are investing aggressively in foreign markets, especially in emerging markets and those emerging markets are certainly less efficient for us as well. As far as the room night growth, internationally, all of the regions are doing better. So I think if you line up our regions, obviously, in the U.S., we've had very healthy growth. The next largest region for us is EMEA, and EMEA room night growth accelerated from Q4 compared to Q3. And then of course, Asia Pacific with eLong, with Hotels.com performing really well. EAN is getting some leverage there with our area joint venture, the Asia Pacific numbers are accelerating and getting larger as a percentage of a whole. And then of course, Latin America is a really promising market. So the growth rates have been improving broadly and I think that, that's due to better process and better conversion and just better execution from the teams.
Operator: Our next question comes from the line of Brian Fitzgerald with Jefferies.
Brian Patrick Fitzgerald - Jefferies & Company, Inc., Research Division: I want to know if we could get any additional color on mobile, what usage trends you're seeing maybe from mobile apps or maybe what percentage of mobile traffic is transactional versus kind of browsing or comparison shopping?
Dara Khosrowshahi: Sure. Mobile continues to be a nice tailwind for us. We have, on an Expedia, Inc. level now, over 20 million downloads of our mobile apps across the various brands. Hotels.com, Expedia, Hotwire are all being aggressive on the mobile front. eLong is being aggressive on the mobile front as well. In general, mobile accounts for about 20% of our transactions. I'd say that's a broad number, higher in the U.S., lower outside of the U.S. And the behavior, the mobile behavior, really hasn't changed much in that most of the mobile bookings, especially on handsets, do tend to be last minute. I think the big difference that we see going into 2013 for mobile is really incorporating more responsive design into our various websites as it relates for tablet web. We're seeing a real proliferation of different shapes and sizes of tablets, and as opposed to designing different sites for the different tablets, our approach is going to be to come up with designs that can respond to the various tablet sizes. We think it's a nice opportunity and we're really just getting started there. So we're optimistic on mobile. We think it's a nice opportunity and should be a nice growth area for us.
Operator: Our next question comes from the line of Stephen Ju with Crédit Suisse.
Stephen Ju - Crédit Suisse AG, Research Division: You're calling out that APAC is a good source of growth for you guys, but my understanding is that most of eLong's volume right now is travel domestically in China, but I'm wondering how quickly outbound traffic out of China to your inventory base in the U.S. and Europe is growing right now, and what that opportunity might eventually be for you? It seems like to me that the amount of consumer spend on travel coming out of China should over the longer term [ph], approach that of the U.S. and Europe.
Dara Khosrowshahi: Yes, I think Stephen, you're exactly right. The outbound volumes from eLong are growing very, very quickly but they're growing off of a small base right now. If you compare eLong, for example, with Ctrip, I think Ctrip had an earlier focus on the outbound volume. eLong has been very much focused on the local Chinese consumer and we thought that, that's the consumer that you hit first. eLong now is working more closely with our other brands and working quite closely with our private label business, with the EAN team. And the outbound business out of China is now starting to grow very quickly. We think it's a large long-term opportunity but we don't think it's going to be a significant percentage of our overall business in the next 2 to 3 years.
Operator: Our next question comes from the line of Tom White with Macquarie.
Thomas C. White - Macquarie Research: One more on mobile and the big shift to mobile Internet usage. Can you just provide a little bit color about how we should think about how that affects your competitive positioning in international hotels, I guess specifically, European hotels? And should we think about mobile making it -- the shift to mobile making it easier or harder for you guys to potentially take share from incumbents in that market? And then also, any color about how we should think about kind of the payback period if you will, for some of the investments in driving mobile app downloads?
Dara Khosrowshahi: Tom, I think it's too soon to tell and honestly, we're not that particular on our mobile investments to think about the differing results between the U.S. and Europe. We think mobile tends to be a natural opportunity for online travel agencies. We -- because technology is our -- is core to what we do, I think you'll notice that in mobile, the product coming out of OTAs in general has been very good. We've seen some interesting players in there like Hotel Tonight, but we haven't seen that many kind of disruptive technologies out yet on mobile. Although I think it's still early so it could -- while it's a near-term opportunity, it could be a threat. But I think just as you saw with broadband Internet, OTAs gather the early share. I think mobile has been an opportunity for ourselves and our competitors to gain share early. I think it's way too soon to say which OTA is doing better than the other players. I think all of us in general are doing pretty well, and I think if you talk to any of the OTA players, they would all name mobile as one of their fast-growing channels. As far as the payback period on the download investments, again, I'd say too soon to tell. We take kind of a 1-year view of things but we don't have enough history as far as looking at how a user who downloads an app, what their lifetime value is and we're pretty early in having those kinds of measurements. So we really haven't developed what I'll call a mature framework at this point.
Operator: Our next question comes from the line of Naved Khan with Cantor Fitzgerald.
Naved Khan - Cantor Fitzgerald & Co., Research Division: A couple of questions. So I saw a nice increase in the number of properties. I'm wondering if you signed any major agreements that caused this jump. And then secondly, just on the Expedia Traveler Preference program, it just seems like you are at this 20,000 mark and you have roughly 200,000 properties. So how aggressive do you expect to be this year in rolling it out?
Dara Khosrowshahi: Sure. Thanks, Naved. One of the big reasons for the jump was the inclusion of eLong inventory for the first time. I think as we mentioned a quarter or so ago, we did enter into a new arrangement with eLong where we're working much more closely with them. We now have eLong inventory much more readily available on our Hotels.com site globally, and we're working on it for Expedia. And then we just had some organic acquisition around the world as well. With respect to ETP, I think it's too early to tell how quickly we'll rollout. I think as we said early on, we would be rolling out, really gated by a couple of things: one was the results we were seeing as we rolled it out; and two was really just the operational complexity of making sure that you got all the hotels trained up and transfer of the new platform and that your new -- your internal processes around collections, et cetera, were up to snuff. So far, we like what we see. As you can see versus last quarter, we have made some good progress on adding incremental hotels and we're going to continue to work throughout 2013. But so far, we're happy with it and would expect to see a similar, if not, faster pace of rollout throughout 2013.
Naved Khan - Cantor Fitzgerald & Co., Research Division: Okay, then. And then quickly on the guidance, Mark, does it reflect the cost associated with the integration of trivago or does it exclude it?
Mark D. Okerstrom: So there is nothing for trivago in our guidance, whatsoever right now.
Dara Khosrowshahi: And I think I'd add that there's no intention of any kind of trivago integration. So the business is going to be run separately if we're lucky enough to have it as part of the family. So I don't anticipate any kind of integration cost anyway.
Operator: Our next question comes from the line of Brian Nowak with Nomura.
Brian Nowak - Nomura Securities Co. Ltd., Research Division: I have 2. I guess, the first, Dara, I guess you sounded a little more cautious on the U.S., mentioning competitive intensity increasing with -- Priceline has increased brand marketing and then the Kayak deal. Are you seeing any changes in the market now with the shopper traffic or is there anything that's making you sound more cautious or is that just kind of me reading into your tone too much? And then the second question on mobile, I guess I have to add a mobile just to kind of follow suit. I'd be curious for your commentary on apps versus browser mobile transactions. Are you seeing a healthy mix of both or is one of those channels really dominating the other one from a transactional perspective?
Dara Khosrowshahi: Sure, Brian. As far as the U.S. goes, I think it's reflective of what we see in the marketplace. We've got the biggest worldwide player in lodging, Booking.com, now with a pretty aggressive advertising campaign in the U.S. They've been successful on a worldwide basis, and they certainly seem to be quite committed to the U.S. market, and I think we have to take that very seriously. So that's really the only thing that it reflects and we'll see what happens. The good news is for us, our U.S. volumes continue to move forward at very, very healthy levels, and we're hopeful that it continues. On mobile, as far as apps versus browser, what we are seeing is that on smartphones, the split between apps and browser transactions tends to be around 50-50. So we see kind of a balanced mix between the smartphone app and the browser and obviously, we're optimizing for both. Tablet transactions tend to have a higher mix on tablet web and that's why what you'll see is more of a focus for us on kind of responsive web design because that captures not only the PC customer but it can capture most tablet players out there.
Operator: Our next question comes from the line of Mark Mahaney with RBC.
Mark S. Mahaney - RBC Capital Markets, LLC, Research Division: Two questions. Dara, you mentioned some positive signs about packages. Could you talk a little bit more about the potential there? It seems that packages has been -- kind of plateaued as a percentage of overall bookings for a couple of years here. Do you think there's something new that could be done that would change that? And then secondly, could you just give any -- please, any macro color commentary on end-market demand, particularly in Europe? Anything that suggests to you that demand has stabilized or has improved or is getting less worse or is it pretty similar to what you saw earlier in the year?
Dara Khosrowshahi: On packages, we are seeing some early promising signs and on the Expedia side, we've moved over essentially 100% of our package shopping over to the new platform. And that has had some benefits as far as our ability to test and learn just like we did on the hotel side and removing errors, et cetera. It just -- the new platform allows us to be much more effective as far as the product that we present to the consumer. We are hoping to move the entire package platform over on an end-to-end basis, but that's hard work and we hope to get it done sooner rather than later. But that is very heavy lifting from a technology basis. I'd say package has some headwinds against it in that in general, in better times, suppliers are -- have less of an inclination to give deeply discounted inventory to players like us. So there's a headwind on the package side. There is a tailwind, though, in that package bookings tend to be longer dated. They tend to have higher ADRs and lower cancellation rates. So with some of our suppliers, they're seeing more and more last-minute business. And so that they put a very significant amount of value to the package booking because it helps them kind of get some early fill up of their hotels and then yield up as you get closer to the stay dates. I think that our most significant opportunity on the package side is going to be in Europe, the European summer sun and beach destinations are destinations that we haven't really, I think, got our fair share of and we're pretty focused in, in improving our inventory there, improving our lift into those beach destinations and we think that can be a pretty significant potential, although it's very, very early at this point. So we're optimistic, but we also realize that we're just -- we're sailing into the wind to some extent. And then on market demand in Europe in general, I'd say that's -- Europe remains largely the same. We saw a stable Europe last year. We saw more weakness in Southern Europe than call it, Northern Europe and we haven't seen much change. That said, I think a lot of the operational improvements that we put in place have allowed us to grow faster in Europe in Q4. So we're cautiously optimistic there.
Operator: Our next question, comes from the line of Doug Anmuth with JPMorgan.
Douglas Anmuth - JP Morgan Chase & Co, Research Division: Mark, if you could talk a little bit more about the EBITDA trajectory in 2013, and I guess in particular, you talked about lower growth in the first half. Just trying to understand how much of that is, in terms of maybe ranking of the priority, the reasons here because of VIA Travel or still rolling off the platform costs and then also the higher sales and marketing. If you could help us sort through that a little bit. And also, Dara, just on the ETP program, obviously, the numbers are up good in terms of properties. Can you talk a little bit about the consumer feedback that you're seeing there and the preference that customers are showing in terms of how they're booking?
Mark D. Okerstrom: Sure. So I think in terms of thinking through how 2013 will unfold, I think it's important to just take a look at how 2012 unfolded, which if you recall, the first couple of quarters, they came in a bit ahead of our expectations, largely as a result of us pulling back a bit on sales and marketing. As we were turning around Brand Expedia, we were a little bit more cautious. That creates some pretty hard comps for us as we go into 2013. The other factor that you mentioned was the addition of VIA Travel, and VIA Travel closed at the beginning of Q2. Q2, in terms of revenue growth, is about 200 bps; Q3, 300 bps; Q4, 400 bps. So you saw this sort of acceleration assistance, if you will, by VIA, which will get sort of one quarter in, in Q1 but then it will dissipate. And then I think the last big factor for 2012 was the fact that you saw Brand Expedia really turn around. And it started to accelerate through 2012. And that will create harder comps for us as we move through 2013. So if you roll that forward then to Q1, what you might expect to see is -- and really rolling through 2013, is increasingly hard comps rolling through the year on revenue and increasingly, call it easier comps on expenses, which results in a bit of a back end weighted plan, and that's certainly what we are -- what we're expecting. I would add though, that the one thing that you saw in 2012, which I would just caution you all about, that you may expect to see in 2013, is that the shape of 2012 did change as we moved through the year. And that's because we have really shortened the cycle times around how quickly we make capital allocation and planning decisions and how quickly we're able to execute things. This has been enabled [ph] by new business processes and really, a large part by the technology platforms that we've got in place now that allow us to iterate, test and learn much more quickly. So as we move through 2012, we were able to, as we saw strong performance on the top line, take that money, reinvest it in things. As we did to VIA Travel acquisition, we're able to make incremental decisions around technology integration and we're going to continue to do that in 2013. So the guidance we're giving you today is really a reasonable view based on what we can see right now but we will be making decisions through the year and we'll update you as we do so on the quarterly calls.
Dara Khosrowshahi: And then on ETP in general, the theory for us on ETP was -- and we've seen it in testing, that consumers prefer choice to either merchant or either agency and so far, that hasn't changed. Obviously, we're not at the point now where we have a significant amount of our traffic on ETP so I think it's too soon to either call it a success or not. But the patterns that we saw, which are hotels that are on ETP tend to produce better than hotels that are not, that remains true. And we are seeing an increase in average booking value for hotels that move on to ETP as well and obviously, that makes our ETP partners quite happy. So I'd say momentum is good but we're very, very early in the process right now.
Operator: Our next question comes from the line of Justin Post with Merrill Lynch.
A. Justin Post - BofA Merrill Lynch, Research Division: Just a couple of quick ones. First, Dara, obviously, you've mentioned conversion rates improving. When you think about the industry or your competitors, how much more room do you think you still have there? How far along are you on the platform or is it just up and running now and you've got a lot of room just on market share to kind of grab but not a lot of improvements still? And then just on the ADRs, is that really geographical mix or is there really pressure in any regions on ADRs?
Dara Khosrowshahi: So as far as conversion rates go, Justin, it's tough to tell. The Hotels.com team has been executing on their product and driving conversion for a good 2 to 3 years. Expedia, I'd say is in year 1 and we're hoping that it's a multiyear journey. I do think that it gets harder as the site gets better. One factor for us in conversion in 2013 is really going to be, how does ETP affect conversion and how do we look at the quality of our inventory, the description of our hotels, pictures, et cetera. How can the quality of our supply help our conversion in addition to kind of the technology work that we're doing on the front end. So we're hoping that it will continue to be a positive driver but it really is impossible to know when the music stops, so to speak.
Mark D. Okerstrom: And then, Justin, on ADRs, it continues to be similar trends to what we saw last quarter, predominantly geo mix with a really like-for-like ADRs staying pretty much where they had been on prior quarters.
A. Justin Post - BofA Merrill Lynch, Research Division: Okay. And Mark, one follow-up. Just as you mix shift to ETP -- I'm sorry if I missed this question earlier. Can you talk about the puts and takes on conversion rates and maybe a little bit on cash flow just to kind of remind us on how that could affect financials in 2013?
Mark D. Okerstrom: Sure. So let me start with free cash flow. I think if you look at our year this year, you can see about $1 billion of free cash flow, of which a pretty significant chunk of the growth was driven by really working capital benefit. Depending on how much we mix to agency and I think as Dara said, right now, if you exclude eLong, this quarter, we're about 10% agency. Depending on how much we mixed agency, obviously, there would be an impact to working capital. But I think if you look at our balance sheet, you'll see we're well capitalized to handle that. With respect to the P&L, there are a couple of things I would call out just to be aware of. The most significant possibility of which is something we highlighted on the last call, which is that so far with Expedia Traveler Preference, what we've seen is it's been very popular with our chain partners. They've been great partners, signing up on the program. And we also, in our testing and what we've seen so far, have seen the most positive, call it, volume response from consumers outside of the U.S. And when you take those 2 factors and if you assume that there was a mix shift in our hotel business, more to chains, more in regions outside of the U.S., that could put pressure on our unit economics. So that's something I would just keep an eye on. I think you saw this quarter, we had revenue per room night down about 6%, consistent with what we've seen in the past. If ETP were to drive those mix shifts, you could see something in excess of that as we roll through 2013. The other sides of that, of course, which are too early to tell the impact, is you've got collection rates that impact it. It can show up in various spots. You've got credit card fees and you've got customer operations costs and more or less those things can generally end up being a wash on the P&L as we move things around in terms of geography. So it's too early to give you strict guidance on what will happen, but those are some of the things you might expect if we were to shift more so to agency.
A. Justin Post - BofA Merrill Lynch, Research Division: But you're happy with ETP economics obviously, right?
Mark D. Okerstrom: We're very happy with it. I think we're doing this because we had a very positive consumer response in our tests. Our suppliers like it. We're removing friction from the marketplace. We think it's going to be great for the long-term prospects of Expedia.
Operator: Our next question comes from the line of Mike Olson with Piper Jaffray.
Michael J. Olson - Piper Jaffray Companies, Research Division: A couple of quick ones. Are you acquiring trivago because it gives you a better foothold in certain geographies or because it gives you exposure to growth of online travel ads spend through a lead gen business that you previously had exposure to through TripAdvisor or maybe which of those 2 factors are more important to you? And then secondly, what's just kind of your assessment of the competitive environment in China that seems to have turned into a discounting more that is hitting the margins of some of the major competitors and does the opportunity there, long term, just outweigh the near-term kind of margin compression due to the intense discounting? Is that how you think about it?
Dara Khosrowshahi: I think on trivago, the reason why we bought it was because we thought it was a great product and they've got a great team. It's as simple as that. It's a very simple hotel product. The inventory is quite broad because of the breadth of suppliers that are in the trivago marketplace. And that team has built a very good product and a terrific brand. It so happens that it's -- trivago's quite strong in the European markets that are strategic to us. But the first reason why we bought trivago was because of the product and because of the team there. As far as the competitive environment in China, the China market is -- it's an enormous market, it's an enormous long-term opportunity for us. We have been gaining share in that marketplace against our largest competitor and in general, in the marketplace for some period of time. And we view the investments that we're making in China as certainly worthwhile, and we think that those investments are going to really set us apart from other global Internet players who really haven't had much success in China. I think we're quite lucky to have a team in place in eLong, a team that's highly effective and executing quite well, and we're 100% behind them.
Operator: Our next question comes from the line of Heath Terry with Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: I was wondering if you could just give us a sense of the kind of 3 areas of macro, ETP and the way you're allocating your marketing spend. What would you say is sort of the breakdown on what's driving the growth in room nights between those 3 or perhaps you've got another factor I didn't list?
Dara Khosrowshahi: Yes, I think the top factor is probably product and technology. So I think that's a pretty significant factor behind our growth. I think next is probably the, I guess, you can call it the allocation of marketing spend. It's allowed us to spend increasing marketing moneys in new channels out there. Obviously, the macro environment is a decent macro environment for us and the other competitors out there. ETP, at this point, is not a material factor in our results. I think it will start to be material in the second half of next year. But at this point, it's really not material.
Operator: Our next question comes from the line of Kevin Kopelman with Cowen & Company.
Kevin Kopelman - Cowen and Company, LLC, Research Division: Given the growing depreciation component of tech and content expense, can you talk about your 2013 CapEx expectations and how are you thinking about CapEx as a percentage of revenue now that you have most of the technology, new technology platform build out behind you?
Mark D. Okerstrom: Sure. Well maybe I can help you with that. The largest portion of our CapEx and the largest portion of our depreciation really is capitalized software development and other technology cost. To help kind of guide you with what to expect there, we are expecting cash technology and content expense to actually begin to leverage in the back half of 2013. So hopefully, that will give you some guidance. I think the overall CapEx spend growth rates that you've seen over the last few years should start to moderate in 2013 as a leading indicator.
Kevin Kopelman - Cowen and Company, LLC, Research Division: Okay. And then just looking at the total sort of CapEx captive line on the cash flow statement. Do you have any target for the year or is it too early to tell and too lumpy?
Mark D. Okerstrom: Yes, I think it's too early to tell and give you specific guidance on the line item.
Operator: Our next question comes from the line of Scott Devitt with Morgan Stanley.
Scott W. Devitt - Morgan Stanley, Research Division: Revenue per room night was down, but revenue margin improved and it had been trending negative. So I was just wondering what drove the improvement and how to think about that for '13 for modeling purposes? And then secondly, the related party spend was up, I think, 8% year-over-year and that had been declining since the separation of Trip. So I was wondering if you could just talk about the change there in the quarter and your perspective on ROI that you're getting from Trip going into 2013 now that you're kind of a year away from this reset in spend.
Mark D. Okerstrom: Sure. So with respect to your first question, the driver of the revenue margin expansion was simply product mix. Just a strong hotel business with a less strong Air business, essentially. And hotel is obviously at higher margin than Air. So that was a quick answer to number one. On number two, yes, Trip spend was up in Q4. TripAdvisor continues to be a great partner of ours, and I think that the up spend you see is a combination of a couple of things: One, I think we, as a company across the breadth of our brands, are getting better at being an independent third-party in the TripAdvisor channel. And generally, what we find is the better we get in the channel, the more we spend because we can drive more volume that delivers bottom line profit for us. So that's factor number 1. Factor number 2, which is a bit more isolated, is that Brand Expedia has been accelerating. And when they're growing and they see good returns, they generally see good returns across all channels and that causes them to up spend.
Dara Khosrowshahi: I think the other factor is that the comps for Q4 -- in Q4 of last year, we started spending down on Trip a bit. So the spend comps on Trip start easing up and I think on a go-forward basis, you're going to see more typical spend patterns on Trip.
Scott W. Devitt - Morgan Stanley, Research Division: And I'd like to follow-up on that first question again. Just to clarify, because this mix dynamic, given the strength in your hotel business really, throughout the year, I would've thought that, that would have been driven near the stronger revenue margin throughout the year. Is there something that unique or is it the rate of change in 4Q that drove it more strongly so it turned positive versus being negative in the first 3 quarters?
Mark D. Okerstrom: Sure. So it's really difficult to actually look at our revenue margins sequentially, and that's because the gross bookings was on a booked basis and revenue is on a stay basis. So that's why you see swings on a sequential basis. The year-on-year fluctuations were much less than that, I think, much more consistent in the direction you saw in Q4.
Operator: Our next question comes from the line of Chad Bartley with Pacific Crest.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: This has been asked a few different ways but in case there's anything else to call out, I did want to ask about your international segment. So we saw good acceleration in room night growth. I think, if my calculations are correct, if you back out VIA, it looks like international bookings growth did slow very slightly. Is that purely a function of mix and the impact on ADR or is there anything else to call out there?
Dara Khosrowshahi: Yes, I don't think -- if you take out VIA, I don't think our international room night growth slowed. When we look at a brand by brand basis in general, most of our brands did better internationally in Q4 than Q3.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: I was comparing room night acceleration versus a deceleration in bookings.
Mark D. Okerstrom: Okay. So yes, if you back out VIA out of international, it is a bit slower. The biggest driver though, between the difference between room nights and gross bookings, is that gross bookings is overly offset or overly represented by Air. Our air business internationally is generally not as strong as our hotel business and so that's really the driver behind that.
Chad Bartley - Pacific Crest Securities, Inc., Research Division: Okay. Great. I just want to make sure there wasn't anything else going on.
Mark D. Okerstrom: No, that's it.
Operator: Our next question comes from the line of Michael Purcell with Stifel, Nicolaus.
Michael B. Purcell - Stifel, Nicolaus & Co., Inc., Research Division: I was wondering if, Dara, we can go back to your opening statements, just about -- it's clearly that you're gaining share by how fast you're growing in room nights and all your metrics within the global market. But I'm wondering if you could kind of quantify for us how fast you think the OTA space in general is gaining share and how you're doing within that share gain? And also if you could just give any comment about any impact you're seeing from Google's metasearch products.
Dara Khosrowshahi: Sure. I think that the OTA space in general, what we observed is in the early days, OTAs gained a fair amount of share. I'd say probably starting 6 years ago or so, supplier direct started gaining more share from the OTA players and in the past couple of years at least, we've seen OTA grow fairly broadly to be pretty healthy. So I think that right now, OTA -- my guess is that OTA and supplier direct share growth are pretty consistent and I think it's the general kind of worldwide growth driver of higher Internet penetration and I think mobile penetration is probably a bit of juice behind it. From a competitive standpoint, I think it's pretty tough to tell. In the past couple of quarters, we've been doing well against some of the smaller competitors but our largest competitor obviously, has been growing room nights faster than we have historically. We'll see what that looks like. In this quarter, it's just impossible to tell. From the standpoint of the Google metasearch product, not much of a material impact. Google meta continues to grow. It's a fairly fast-growing channel for us. But right now, the amount of traffic coming from that channel is still pretty small compared to the classic kind of paper click model that Google has in place. So it's a fast-growing channel. We're working with Google on it and we'll see how it develops on a go-forward basis.
Operator: At this time, I would like to turn the conference back to management for any final remarks.
Alan Pickerill: Okay. Thanks, everybody for joining the call today. As usual, we appreciate your interest in Expedia. The replay of the call will be back up on the IR site shortly. Dara, any closing comments?
Dara Khosrowshahi: No, just thanks to the Expedia Worldwide employees to a strong year and hopefully, we'll be able to keep it up for our shareholders in 2013.
Operator: Ladies and gentlemen, this does conclude our conference for today. Thank you for your participation. You may now disconnect.